Henry Engelhardt: Good morning and welcome to Admiral Group’s 2015 Full Year Results Announcement. I’m Henry Engelhardt, Chief Executive. To my left is Geraint Jones, our CFO. We’re going to talk a bit about the general results, and Geraint will go into some detail on the capital and dividends; followed by myself and Andrew Rose, the CEO of compare.com, talking about our international operations. David Stevens, the COO and future CEO, and Noel Summerfield, our Head of Household, will then talk about the UK business. David will then wrap up and then we’ll open it up to your questions. Well, this is the 12th time that I’ve been able to stand up and do a full year results announcement. And it’s been my pleasure on 11 occasions to be able to announce record profit for Admiral Group, this being the 11th occasion. Now, to many of you, we must seem a bit like a seedless watermelon. Fresh and tasty, of course, but you must wonder how can this regenerate itself? And yet we do, year after year. This year, it’s a record profit £377, 6% higher than last year. It’s also a record number of customers at year-end, 4.4 million. And the interesting thing here is much of that customer growth actually came from the UK household business, which Noel will talk about in just a couple of minutes. The dividend is £1.14 and a bit, a final dividend of 63.4p will be paid in early June. The dividend percentage increase outpaced the earnings percentage increase due to the excess cash, post-Solvency II. And Geraint will talk more about this in just a moment. This is one of my favorite charts. It’s our historical turnover chart from the very first year 1993, when we did £18 million of turnover; we now do that about every four days. It’s all organic, it’s in good economic times and bad and now, once again, we cleared the £2 billion mark. The key point though to take from this slide is that the growth now is not fully dependent on UK motor and price comparison. In 2011, when we first cleared the £2 billion mark, it was virtually all UK motor and price comparison. But now, the growth is coming from other parts of the Group. So, what kind of year was it in total? Well, I call it the year of the uncut diamond. 2015 was the year of the uncut diamond. It’s certainly a diamond and the financial year is quite a sparkling one. But we are just really starting to see the potential from the underwriting year. I would like to draw your attention to the bullet points on the left for Admiral Seguros, ConTe and the household business, all of which had very successful profitable years. We also continue to invest in our future, in particular in the U.S. and France. Geraint?
Geraint Jones: Thanks Henry. Good morning everyone. I am going to look in a bit more detail at the record profit that Henry referred to. And then I am going to talk about capital and dividends. First up, the profit, hopefully a familiar slide which shows where our record £377 million of profits came from 2015. One of the highlights, clearly is the UK car insurance result, profit there was up by over 11% to £440 million due to an improved combine ratio and higher investment income. That profit obviously dominates the total there, comprising 118% in the dark blue. International insurance, that’s in the green, a similar proportion to previous years with the loss of £22 million. Another profit in ConTe was offset by investment in Elephant and L’olivier in particular. In comparison, you can just about to make out, flips from a small profit in 2014 to a loss in 2015 with profits at Confused, Rastreator and LeLynx offset by our investment in compare.com. And the yellow at bottom there is everything else that’s mainly our share scheme costs and the debt interest costs. You will hear a lot more on the business performance very shortly. Turning to capital, let’s take look at how the Group managed up against the new Solvency II capital requirements. As you’ll remember, Admiral will initially use the standard formula to calculate the requirements. And towards the end of last year, we agreed an add-on to that standard formula with the PRA. The add-on mainly reflects the risks to profit commission that sits on our Solvency II balance sheet. The chart top left shows Group capital before and after the final dividend on a Solvency II basis. And so these are different numbers to those you will see in the accounts, compared to the new capital requirements on the right hand side. And as you can see, the position is very strong. The solvency ratio even after deducting the final dividend is over 200%. Just to reiterate, we are planning to submit an application to use our own internal model to calculate the capital requirement during 2017. That’s likely to mean it will be the end of ‘17 at the earliest before that model is approved and in use. And at that point we will confirm target ranges to solvency coverage. But, given our balance sheet and business model, I currently expect they will be something in the order of 125% to 150%. We have shown the results of a few sensitivities on the solvency ratio in the appendix for the presentation. We have said many times in the past that we don’t believe in retaining capital in the Company that isn’t needed for solvency or buffers; that remains the case. As I suggested on the last slide, we entered Solvency II with surplus capital and we intend to return that to our shareholders. However, despite the fact that we are now live under the Solvency II regime, uncertainties remain, notably the model approval and capital ad-on reassessment processes. And so, we think it’s appropriate to phase the return over two to three years, basically until the model is approved and we’re up and running with that model. But the first such additional return of capital is £33 million and that will be paid to the final 2015 dividend. As you can see on the slide, we are expecting the total to be in the region of £150 million to £200 million, which includes that £33 million. And every time we make one of these additional returns over the next couple of years, we’ll show it separately from the rest of the dividend. Clearly, of course, if anything changes, then the actual numbers might be different. Moving into the new regime has also prompted a review of our dividend policy, which as you know has been in place since Admiral floated back in 2004. We have decided to change it slightly, increasing the normal dividend element from 45% of post tax profits to 65%. In practice, at least for the foreseeable future, we don’t expect this change in the policy to affect the total dividend payout ratio. And we expect that level, not including the additional returns of capital, I referred to on the previous slide, to remain in line within historical average, somewhere in the 90s in terms of the payout ratio. The key reason for the change is set out on the slide. Having consistently paid out 90% plus of profits every year since we floated, we think that a higher normal dividend level reflects a more appropriate balance between the normal and special parts by dividend. Don’t of course, the 90% to 95% or thereabouts isn’t guaranteed and is subject to close to change, depending on what’s going on in our business at a particular point in time but that’s the reasonable guide for the time being. What does all that mean to the final 2015 dividend is take a look. As you can see, we are thinking about dividends for the next few years in three parts, first up in the dark blue the normal dividend, 65% of earnings; and then the special dividend in the green, which combined with the normal gets us to the familiar 90s or so percentage payout. Then the additional return, some call it the special-special or the super special that sits on the top in the blue. The actual amount 33.6 pence for the normal; 17.9 pence for the special and those two together gets you to 51.5 pence per share, which is a H2 payout ratio of 98%. The additional return on the top 11.9 pence or £33 million gets you to a grand total of 63.4 pence and that gets paid on the 3rd of June with the other dates on the top right hand side. Of course I appreciate there is a fair bit going on with capital and dividend, so please feel free to bombard us with questions at the end or come and grab me afterwards. Next up, my favorite chart. This shows our full year dividends we paid every year since we floated back in 2004, first full year being 2005. As you can see, the pretty solid record of dividend growth over time, ending up with another new record in 2015. On the right hand side, you see the totals we paid since float, £2.1 billion and counting, that’s three times the value of Admiral when we floated in September 2004. If we overlay earnings per share on top, you clearly see how effective the Admiral model is, enabling returns to shareholders. Over 90% of the earnings distributed every year. Before I sit down, it’s not in the main part of the presentation but I just wanted to draw your attention to the fact that we have agreed extensions to our UK motor quota share contracts. So, we’ve fully allocated our capacity out to the end of 2018. The terms on those contracts are no worse than the expiring deals and actually we’re reducing Admiral’s net share of the UK underwriting from 25% to 22% that reflects strong demand and attractive terms. That’s it from me. Henry is staying on his seat and he is going to be joined by Andrew to talk about our international operations.
Henry Engelhardt: Thank you, Geraint. I’m now joined by Andrew Rose, the CEO of compare.com. This is a map. It’s a map to remind you where the Admiral businesses reside, and I’ll talk the insurance businesses and then Andrew will talk the price comparison businesses. The story for the international insurance businesses is continued growth. Now, please note the chart in the upper left of turnover is translated into sterling. So, exchange movements have been flattered by the euro and insulted by the dollar. But there are no euros or dollars in the vehicle count. The count is up 14% 2015 over 2014 and 30% 2015 over 2013. This growth comes despite Admiral Seguros actually reducing its vehicle count in 2015. Now, the chart on the right, on the bottom right I believe is quite important because it shows you in the red numbers there what the combined ratio, including ancillaries, is. And actually in some of the countries we’re in and what we would call ancillaries are actually accounted for in the combined ratios of companies in that market, in particularly in Spain. And you can see that the number there is a 115 and we’re getting ever closer to an international breakeven. Now Admiral Seguros had a fantastic year and I really can’t say enough about the job the whole team, certainly the management team but every person in that organization did to focus and concentrate on getting us to a breakeven result on an underwriting year basis. It’s a fantastic triumph of the team on very small volumes with low average premiums to be able to bring home actually a profit of €1 million. And now -- and this is in a market that hasn’t seen a price increase in a decade. It’s a market characterized by ramping discounting when you come up for renewal. It’s different than the UK market, where the UK market is dominated by advertising by price comparison businesses, even though there are successful price comparison businesses in Spain, it’s to ensure that it still dominates the advertising landscape, spending four or five times the amount that the price comparison businesses spend on TV. But it sort all changed now for the Spanish market. Spain has something called Baremo, which is a bodily injury protocol. And basically Baremo itemizes body parts and puts a specific cost to them. So, your arm is €3,000, your arm is €3,000, your arm is €3,000, doesn’t matter who’s arm, it’s €3000. The awards typically are quite small and they are static. So there’s no long tail for bodily injury awards because you all have to do is look and say, oh, you lost an arm, it’s €3,000. It’s not a debate, it’s not a negotiation. One thing I would like to advise you is if you’re going to get hit by a car, don’t do it Spain because you don’t get big awards, but you will get bigger awards than you used to get because Baremo has changed from 1/1 this year, especially the upper limits of Boremo have gone up quite significantly. And there are estimates that this will add 5 to 15 points to the bottom line for the market on loss ratio. In a market that’s drifted from kind of 92% combined 10 years ago to about 101 today with no price increases and just a little bit of inflation hitting the system along the way, a 5 to 15-point move on the bottom line is quite substantial. So, we should see quite robust price movement upwards during the course of the year. Mapfre, market leader, has actually already announced a 7% to 8% increase in the Spanish market and others are starting to follow suit. Now, to achieve breakeven, Admiral Seguros actually had rate increases last year and now was in a good very position to reap the benefit of those increases and take the growth, as the others start to increase rate. And this also will stimulate, these increased rates will stimulate more, more shopping, more and more consumers looking for other types of insurance and using price comparison more, which Andrew will talk about in just a minute, so very interesting time in the Spanish market. ConTe also had a great year. Now, this is a market that’s actually much more similar to the UK market. It is characterized by violent cycles, big price increases, big price decreases which stimulates, both of which tend to stimulate shopping for consumers. It has highest average premiums. It has large bodily injury claims and long tails. So, much more akin to the market we’re used to dealing with in the UK and it has a quite substantial and growing price comparison sector. Now, ConTe recorded its second straight year of financial year profits but its back years are performing very nicely. In fact now when we look back, we see 2012 was actually profitable. 2012 was the fourth full year for ConTe which is again remarkable achievement to take a direct operation and get it to profitability in the year four. We do think that even thought the market is currently in a bit of soft part of its phase, the combined ratio for the market is in the mid-90s. There are still opportunities to grow, particularly when one attaches itself through a growing distribution channel. And last week, ConTe took second in the great place to work contest in Italy, quite an achievement. Now, I am very excited by L’olivier in the French market. And this is largely down to a law change that came about a year ago, called the loi Hamon, and has nothing to do with ham, it’s the guy’s name. And basically, it changed a lot for consumers. It made it easy to switch insurers. Previously, France was arguably the hardest market for consumers to switch including the sending of a registered letter to old insurer if you wanted to move. That’s all changed now. If you’re with your insurer for 12 months, you can go at any time; they can’t charge you a fee for leaving. The new insurer will set everything up for you and take care up all the grunt work and you can go. Now, this isn’t revolution in France; it’s not like everybody is bursting their balconies and yes, we’re free, we’re free, no it’s not happening. But is evolution and we’re seeing that largely through the growth in price comparison that people are cottoning on today to the fact that they don’t have a hassle to leave and they can save some reasonable sums of money. This bodes very well for the L’olivier. Now, you might remember, L’olivier in 2014 took a bit of a time out year, in that it had to in-source. We had an outsourced model, we in-sourced. We had to create and build and implement a computer system and establish the call center which we did in Lille. And now in 2015, we started to grow again. And you can see that the business virtually doubled in size in 2015 and we expect a lot more growth in 2016. Last for me is Elephant, good growth in 2015. We are finding this is another market where insurers are feeling a bit of pain. Again, very different from the UK, much more similar to the Spanish market and that it’s got low bodily injury costs due to limited liability, it’s short tail and therefore you don’t have vicious market cycles as you do in the UK, Italy and little bit in France. So, you have a steady line. And the market kind of trades between 98 and 102, and 98 is brilliant and 102 is disaster, not exactly UK market, is it? And now the insurers are bumping up against the 102. And therefore we’re seeing rate increases in the market. And that is something that’s very good because it stimulates consumer shopping. That’s excellent for Elephant and also very good for compare.com which is a perfect segue for me to turn over to Andrew to talk about price comparison.
Andrew Rose: Thank you, Henry. Good morning, everybody. As Henry mentioned, my name is Andrew Rose, I am the founder and CEO of compare.com. It’s good to be back talking you guys again. Let’s talk comparison businesses. Confused delivered a lower profit, as a result of a very competitive market with an enormous amount of ad spending. You turn on the TV here in the UK, as I have found, you are inevitably going to see a comparison ad. Confused continues to invest in its core business and expand its Carfused offering, giving consumers a fully integrated shopping experience for their auto related expenses. Rastreator and LeLynx were once again profitable, each growing quotes and revenue while maintaining their market leading position. Investment into the U.S. comparison business compare.com continued in 2015 with quite favorable results, I’ll get into more details on that in a few minutes. Lastly, we are pleased to announce that Mapfre has once again partnered with Admiral, in this case on a business called Preminen. Preminen will explore comparison business opportunities in other geographies, continuing Admiral’s start small, test and learn philosophy. As I mentioned a moment ago, Rastreator and LeLynx, both had quite good years in 2015. In addition to the growth, Rastreator launched new TV campaign and entered new verticals, reaffirming its position as a market leading comparison destination. LeLynx took advantage of the law change that Henry mentioned, to encourage more shopping, it worked with quote volumes and ultimately revenue, both climbing to new records. Additionally, LeLynx used a variety of campaigns to further solidify its position also as market leader. Moving on to compare.com, a business that I obviously know well, I often tell folks when they ask about this business that it has the great opportunity for success, not the guarantee thereof. Well, in 2015, we explored that opportunity quite favorably, growing meaningfully, multiples of prior year levels. First, our carrier panel doubled to more than 60 brands including nearly half of the top 25. Our early successes delivered a large increase in volumes, helping to attract new entrants, and a quite noticeable exit in Google Compare. Google’s exit however was global and across multiple verticals, most of them actually outside insurance, credit cards, mortgages banking product, and most likely reflects an adverse strategy change rather than an indictment on their U.S. insurance business. Given, we were many multiples of their size already and it did -- and we did not include their business in our forecast, its impact to us was negligible. Back to compare.com, our 1 million plus quotes came with ever improving acquisition economics, ultimately bringing us to our first national TV ad campaign in Q4. Those efforts were very successful and continue in a test and learn scale in 2016. As I mentioned, our economics have shown very meaningful improvements, 77% on a quote basis and 86% on a per sale basis. This comes from improvements across the business. Conversion continues to improve. Our longest term partners continue to see their conversion rates increase. We can exploit their learnings with our newer partners, gaining even greater speed, yielding even more favorable growth. The national TV test, I mentioned earlier, showed substantial upside economics and bodes well for further improvements, as we complete our existing carrier integration backlog and add further carriers in a face of Google’s exit. A repeat of that test, the TV test on a larger scale delivered comparable results, leading us to continued control spend now on a national basis. All this leads us to continue an expanded investment in compare.com with another loss forecast in 2016, driven off the back of this expanded advertising. We would not be able to do this, if we didn’t have satisfied carrier partners. 100% of them rating the partnership with compare.com as excellent or very good. Additionally, we must satisfy customers. And as you can see from the comments above, they are thrilled. They are thrilled when they see this true comparison experience, something that you see here in the UK every day. The challenge for us is to deliver that experience nationally to all customer segments, as we move to more national advertising. In closing, compare.com has had quite a favorable year in 2015. We are not at the finish line however, and challenges most definitely remain. And now to David and Noel to give us an update on the UK.
David Stevens: Thank you, Andrew. So, I am going to start with just the highlights from the key core car insurance business in UK. We’ve insured 5% more vehicles than we did a year ago, 7% higher turnover and 11% more profits than a year ago, so strong results from the core business. And then go on for a couple of pages to talk about the market, I am particularly going to argue that some of the commentary on premium inflation so far been a bit overblown but conversely arguing that also some of the commentary on claims inflation has been a bit overblown. And then I am going to focus on Admiral’s results in the car insurance business and hand over to Noel, who in an important first for Admiral, will talk about our household insurance business. So, a premium inflation. The AA survey, plus 20%; Confused survey plus 13%. Six quarters of year-on-year premium inflation has led to some commentary that I think exaggerates the true extent of premium inflation achieved to-date. We focus on the ABI Index, an index which is the most reliable index including as it does, both new business and renewal premium. And if you look at the ABI increase, the green bar here is showing the annual year-on-year increase and the blue bar is showing cumulative change since the beginning of 2012. If you look at that, you will see a premium inflation number of 5.7% at the end of 2015. Now, some of you might -- despite that number, you might remember a number around 8%. That 8% includes the IPT increase that was introduced in November of 2015. And therefore in a sense, it’s irrelevant to the underlying profitability of the car insurance business, although relevant to the consumers and to shopping behavior. What you’ll also notice is a reminder that the premium inflation that we’ve had to date still leaves us 5% lower than we were at the beginning of 2012. Moreover, it takes a while for written premium to feed into earned premium. And so, these numbers essentially equate to roughly 4% increase in average written premium in 2015 but actually flat earned premium outcome for 2015. So, there’s a way to go before the market has introduced premium increase that’s sufficient to correct for some of the premium deflation of 2013 and 2014. What about the claims side of the equation? Now, there is a quite a lot of commentary, much of it built around the situation on small bodily injury claims, that has led to speculation that claims inflation in 2015 is unusually -- or has been usually high. And indeed the numbers for small bodily injury are plus 5% using here notifications to the MOJ portal, are indeed substantial increases. But there are other factors in play -- or there were other factors in play in 2015. And one of those is in sense the overall frequency shock seems to have largely mitigated. At the half year we were looking at 2% year-on-year increase in overall frequency and we were talking about disposable income and actual prices. The second half of 2015, particularly the last quarter of 2015 was actually much more positive on frequency, such that the overall result for 2015 is at 0.5% increase. The other piece of the equation which is a much more complex piece of the equation to get your arms around is what happening on large bodily injury inflation. And this obviously often gets ignored because of its complexity. But, I suspect 2015 when we know for sure in a couple of years, will have proved to be a relatively benign year for large bodily injury inflation, mainly to 2014 with such a horrible year. These are numbers from the Institute of Actuaries, showing the frequency and burning cost evolution, burning cost being combination of frequency and average claim. The results for claims over a 100,000 over the last four years and what you see is 2014 wasn’t an usually poor year with a frequency increase of 7% and the big increase in average claim cost resulting in a 29% increase in overall cost. Now these are gross numbers and reinsurers will take some of this pain as well as insurers. But what you do see here is a very volatile number, surprisingly so given these are market level numbers. So, 2016 in the sense I expect it will ultimately prove to be the decent year, just on the basis of reversion to mean. So, there is some of the big picture things happening in the market as a whole. I’m now going to talk about Admiral’s own experience and look at the claims ratio. You will be familiar with this exhibit. It shows in the red line the market compound ratio as at December 2014 on a reported basis; it shows in the blue line Admiral’s projected ultimate loss ratio as at December 2015 and the numbers in bracket represent the movement over the last 12 months in those projected ultimate’s. And what you see is very positive series of movements, the 2011 to the 2014, all of them four or five points down over the 12 months. That movement was spread evenly between the first and second half of the year for ‘11, ‘12, and ‘13 but was focused in the first half of 2014. 2014 itself is at 77 and 2016 has started at 82, the first pick, which is exactly where 2014 was at this point 12 months ago. And that’s a relatively conservative first pick. And I think the 2014 is a relatively conservative pick, reflecting the importance of larger bodily injury claims in the 2014 number, which is increases the level of certainty around projection. The positive movements that we’ve seen on the back years during 2015, contributed strongly to a very substantial reserve release. As you all know, reserve releases are always a feature of our profits but 2015 was a particularly strong year driven by those positive movements down in the ultimates. And the buffer that we hold against projected best estimates is slightly up on the end of 2014 and slightly down on the middle of 2015. What are the prospects for releases in 2016? Well, I think we would expect continued material releases for two reasons, partly because that referenced to potentially quite conservative projected best estimates for ‘14 and ‘15, and partly because we are bumping up against the top of our reserving range in the sense that we have a reserving policy, which states a range above best estimate that we should hold. And for the last two or three years, we’ve been at the top end of that range. And over time, we’d expect it to be logical to migrate towards at least the middle of that range and that should have positive impact on reserve releases in ‘16 and potentially beyond. Now, I mentioned the market gone up about 6% in premium inflation. We did roughly the same during 2015. For about the sixth results presentation in row, I’m standing up and talking to you about a convergence of our average premium with the market, so that 6% premium inflation has not fed fully through into average premium as the combination of our own rating actions and actions by our competitors, has seen us write a relatively lower premium book of business. This actually tracks our average premium over the last 10 years against the market, we’re blue; the market is red. And you can see that convergence over time since 2000. And although the interesting observation is, in a sense, the outliers here are ‘10, ‘11, and ‘12 when the market withdrew wholesale from large parts of higher premium business. It’s very gratifying in the context particularly of converging average premiums to see that our expense ratio advantage maintains its scale. This has always been the fundamental foundation of our combined ratio advantage of 20 points plus and fact that we maintained that advantage in ‘13 and ‘14 despite convergence on average premium is very gratifying. So, prospects for the future, I think that there will be continued premium inflation in the market for 2016, as you’ve seen the inflation to-date is not enough to significantly turn the market, although I would say that the uncertainty created about the prospects for small bodily injury have fallen following the Chancellor’s expression of an intention to reform, does create some uncertainty, but the reform itself looks like it’s getting pushed further and further back for 2017. I think we could probably say that the pure year combined ratios are very likely to have peaked in 2015 for the market as a whole. And I find it very encouraging that that peak is likely to be materially below the previous two, three peaks which may bode promisingly for the rationality of our industry going forward which is in both interest of our consumers and our shareholders. And lastly as I said earlier, we would expect our results in 2016 to be supported by sustained material reserve leases. Over to Noel.
Noel Summerfield: Thanks, David. Good morning ,everyone. My name is Noel Summerfield and I am Head of our UK Household Business. Today I am going to talk about three things, the home insurance market; the performance of our household business; and some future opportunities. So, starting with home insurance market, it’s large, second only to motor at 6 billion GWP. The market is generally profitable on an underwritten basis, with the exception being weather-event years. As you know see from the left of the slide in recent years, due to the lack of any significant weather, the loss and expense ratios have made equal parts of the combined. If the graph went back further to the last real weather event the year 2007, the combined ratio will be somewhere around 119%. As you can see on the right, with more consumers shopping online, growth for comparison has been significant. However, the portion of home insurance customers using the price comparison channel [Technical Difficulty] motor, which one might suggest is a potential for growth. We launched our home insurance business on December 18, 2012. [Technical Difficulty] So, we launched our home insurance business on December 18, 2012. And the strong Admiral brand as well as our understanding, the price comparison channel has allowed us to grow the book of business to over 300,000 customers within three years. The mix of cover written is fairly typical with over three quarters of our customers choosing to buy combined buildings and contents. For the price comparison channel, we’re in the top three rank by sales volumes. I am going to talk a little bit now about one of the ways we’ve achieved this. As you can see, on slide show a price page from a price comparison website. First thing to mention here is that we just trade under the Admiral brand, unlike motor. Second thing to mention is that we have a tiered product offering, as you can see Admiral, Admiral Gold and Admiral Platinum. This allows customers the choice of trading, price and cover to fund the most suitable product that they need. Okay, moving on, as you can see on the left of the slide, we are outperforming the market on expense. We’ve achieved this by replicating many of the elements which have given motor an expense advantage, in particular by embracing the price comparison channel to help us achieve low acquisition cost. The loss ratio for 2015 is 66% on an earned basis due to the portfolio being more heavily weighted towards new business when compared to the rest of the market. On the right of the slide, you can see that the household business made its first profit. And keeping with the other speakers this morning, perhaps I should add that this is my favorite chart. I note here would be -- as we’re new to household, our approach to reserving has been a conservative one. Although due to the low value short-tail claims in household, the opportunity for future significant releases is unlikely. Finally, the household business has similar long-term contracts in nature, but with Admiral retaining a 30% share. Given that the past few months have seen a number of storms, we felt it’s appropriate to talk about how we fared. So, for the storm and flood events at the end of last year, we estimate that based on our market share our losses were about a fifth of the size that they should have been. We have achieved best by using good quality, granular data and maintaining a disciplined and reasonably conservative approach to risk selection. Looking ahead, there are number of exciting opportunities for growth. The increase for the price comparison channel and a launch of Flood Re should mean that there are more customers shopping, which is good news for growing business. And we have 3.3 million motor customers in UK and this represents a sizable opportunity for those customers to also buy our home insurance product. That’s all on household. I’ll hand you back to David.
David Stevens: Thank you, Noel. So, a strong performance on our core business -- yet another strong performance on our core business, and household small but laying the foundations for something big and valuable, and internationally strong progress across our direct insurance and price comparison businesses, some of which I think have got genuine important potential future implications for value of the Company. Now, it’s not our approach to make projections and forward guidance but the something I’ll predict with the degree of confidence, and that’s in 10 weeks I’ll take over from Henry as CEO. I have had the joy and honor of working with Henry for 25 years. This is Henry and myself in 1991 laughing at our business plan, as indeed most other people did although fortunately not everyone. And over those 25 years, I have seen Admiral prosper and do very well by its customers and its staff and its shareholder. I myself started in marketing and took on pricing and claims thereafter and then become the head of the UK direct insurance business, which I have done for the last few years while Henry has focused more heavily on international. Now, some of you may be wondering what’s going to change, I have got three answers here, a lot, quite a lot and nothing. A lot, in terms of relative workload between Henry and myself, although I am very happy to say that Henry is staying on in an executive capacity, will be working part time but he will, a very important job of running our price comparison businesses in the UK and internationally. Something else changes a lot going forward and that’s Admiral in the sense that the secret of our success has always been one of continual change, changing how we do what we do and in fact what we do, and doing it faster than the competition, better than the competition, and that will remain an important part of what we will do. What will change quite a lot, well that’s the organization under me. The business that Henry and myself and five or six other people have been key to over last few years, will prosper on the back of those five or six people taking on more-and-more over to the next few years and they will organizational changes as part of my taking over CEO, which I’ll talk about more at the half year, which we will see those five or six individuals take on a bigger and bigger share of responsibility for running of the business. I myself will remain focused heavily on the UK but will obviously be closely involved in what’s happening international. And what would change not at all, the fundamentals of Admiral. The fundamentals of Admiral make a great company to insure with, a great company to work for and a great company to own. So, on that note, I’ll open it up for questions. Who’s got the microphone?
Q - Andy Hughes: Hi, thanks very much. Andy from Macquarie. A few questions if I could. The first one is on -- I think I described it as a retreat previously, from the younger driver portfolio. I mean it looks like a pretty good decision, given the increase in bodily injury claims in 2014. So, was there some foresight to what was going to happen or the rebalancing of the book towards lower risk drivers, is that something that we can expect to reverse sometime soon, or just I’m interested to know what’s driving the decision there and whether it is telematics or whether it’s structural in terms of what you saw was coming. And the second point was on the capital returns. You mentioned moving the capital buffer down, yet still paying out quite a lot of your earnings. Doesn’t that mean that the best estimate versus booked loss ratio is part of your capital buffer; so, won’t the capital position therefore deteriorate, as a result of paying out more of your reserve buffer between ABI and actual booked loss ratios?
David Stevens: I’ll take the first one, and Geraint, would you take the second? I don’t think it was a brilliant foresight on our path to reduce our participation in the young driver market in the expectation of 2014 being a horrible year. I think in terms of that pattern on big bodily injury claim is a volatile pattern that I’ve never heard anyone really particularly rationally explain. In terms of the violence of the mix. What we have just observed in our own book is the relative attraction as to that part of the market over the last two or three years has diminished relative to the more standard part of the market and that’s explained some of it. And the other relevant that explains it is that a number of our competitors having been put off their segments in ‘09, ‘10, ‘11, ‘12, have gradually reentered them and that pricing has in fact affected our share of the market.
Geraint Jones: Then second question was on the change in the reserve margin moving to the middle of the range of our reserve and policy. The level of Solvency II capital is actually based on best estimate loss ratios. So, unless there’s a significant change in the best estimate loss ratios, that’s the driver of the Solvency II capital.
Andy Hughes: That’s my point though. So, if you drop your booked loss ratios towards your best estimate and then you pay out all of that as dividends then obviously your solvency will deteriorate.
Geraint Jones: That’s correct. I’m not sure that David’s talking about wholesale slashing of the reserve margin, we are talking about a gentle move down into the middle of our range rather becoming a best estimate reserver overnight, which is far from the truth.
Dhruv Gahlaut: Good morning. Dhruv Gahlaut, HSBC. Just couple of questions, firstly on the home business. Could you talk about the duration of the quota share what you have with your partners there in terms of how long do they go? Secondly, is there any restriction in terms of how much you can grow over the next couple of years from the reinsurance partners? On the home front itself, the cross-sell, do you guys need to do any investment to be able to start cross selling at this point and have you as in how -- as in where are you in that whole process of cross selling? And one question on your -- on the Google tie up -- sorry, not the Google tie up, the tie up which you have with Mapfre, could you say as in terms of what we should expect in the next couple of years in terms of charges et cetera in the P&L?
David Stevens: Okay. So, I’ll take the reinsurance questions. I think Noel will take cross-sell, and Mapfre will be Henry. On the reinsurance, the long term deals that take us into the early part of the next decade, they don’t have material caps on volumes.
Dhruv Gahlaut: [Question Inaudible]
David Stevens: So, we’ve done some small cross-sell tests to-date, which have been encouraging. And we are in that process of implementing a new policy administration system. One of the benefits that we’ll get when that launches is the ability to effectively cross sell. So, it’s coming soon.
Dhruv Gahlaut: Will it be this year?
David Stevens: Yes. What was the question next.
Dhruv Gahlaut: Sorry the third one was the…
Henry Engelhardt: Yes. Preminen is a joint venture 50-50 with Mapfre. It’s a small amount of money being put in to investigate and invest in possible price comparison businesses in various parts of the world. It’s not a meaningful sum.
Ravi Tanna: Good morning. It’s Ravi Tanna here from Goldman Sachs. I had three question please. The first one was just on the investment income side. Given the strength of the Solvency II capital position that you’ve laid out, is there scope or would you consider further re-risking the investment portfolio given that it’s still in a broader type of context, it’s quite low risk in totality? And the second question was around the strength of the reserve releases that you’ve seen. I’m just wondering whether there is any expense which we can make across to your competitors in the market and I’m trying to understand what underlies the confidence behind the statement you’ve made around 2015 being the peak for pure combined ratios for the market as a whole. And then the third one was around again, capital and the tradeoff between capital returns to investors and growth in the UK motor market. Given the capital returns that you set out today, what does this imply in terms of required investments for your international home businesses et cetera and actually what’s underlying the growth piece?
David Stevens: Geraint, do you want to take the two, the first and the third, and I’ll come back on the second.
Geraint Jones: On the investment portfolio, we have -- as you will see in the appendix, made a couple of changes over the past couple of years to move slightly upwards spectrum. We’re still, you might say, very low risk compared to most of our peers. We think that’s the right investment strategies to adopt. We always look for opportunities to invest in different asset classes or shift the balance where we think the risk reward tradeoff is appropriate. I’m not sure I foresee major changes. I think we’re pretty happy with where we are. To final as well, capital return versus -- capital returns to shareholders versus growth prospects. I think I’d point back to the history, we started after flotation paying back 90% of profits to shareholders. We’ve done that every year for 11years. We’ve grown motor from 1 million to 3.3 million customers, set up a new household business for other 300,000 customers, set up five up five, now have four, international insurance operations which have 700,000 customers. So, I think our business is able to grow as a result of the reinsurance structures and return capital to shareholders. So, I don’t see any major change in that trajectory.
David Stevens: And on the cycle thing and my comment about 2015, I should reiterate that was a comment about the pure year result. And it’s based on our assessment to where premiums are moving versus where claims inflation moving. I wouldn’t be as bold to try and project the reported result after all the releases, very hard to do. I should pass it to Greig and then bring it back. We’re averaging about 3.2 questions.
Unidentified Analyst: I actually also have three numbers. One, in the future, I wish you could just put these in your financing because you actually said every time the base rate, your base rate year end ‘15 versus year end ‘14, A. B, the renewal new business impact in the sense as how that translates through it and through the ultimate loss ratios. And your claims inflation that you actually expressed in the -- we interpret if it’s on a written basis or earned basis later.
David Stevens: Well, I am going to disappoint gain Greig in a sense and it’s much I am going to say that our premium inflation is roughly in line with the market 6%, it’s reasonably evenly spread between new business and renewals and our claims inflation in 2015, I’ll tell you in 2018.
Unidentified Analyst: If you just clarify, you said the premium rate increase was 6%, roughly in line with the market and does that include renewal new business impacts?
David Stevens: That’s new business and renewals combined.
Unidentified Analyst: And that’s year-on-year to December…
David Stevens: Yes.
Unidentified Analyst: And you won’t say what claims inflation you booked in…
David Stevens: I will tell you what is going to 2018.
Unidentified Analyst: No, I am saying what you booked in the ultimate?
David Stevens: You see our ultimates, you can take a reasonably accurate view.
Thomas Seidl: Thomas Seidl from Bernstein, two questions. On the U.S. side, you’re going to reinvest or invest 30 million, you showed improvement in operating metrics. So, if you continue at this trajectory, when do you think you make breakeven and when do you identify a point, it’s not worthwhile and you are not getting there? First question, second question, are you going to implement the Solvency II internal model anyway or only if you get a substantial capital benefit?
Andrew Rose: Business in the U.S. is progressing quite favorably. So, from that standpoint, we had in line if not more favorable results last year than we had forecasted. So, that leads to the incremental investment. We’ll continue to invest in the market as we continue to see favorable trajectory. As far as breakeven, we don’t like to put specific dates out there. It’s August 17th, I’m just not sure which year. So, we’re going to get there as quickly as it makes sense for us to do so. But also we want to make sure that we’re taking advantage of all the opportunities in the market, both in the personal lines as well as other market opportunities that might itself.
Geraint Jones: On internal model, so what we say in our presentation and in the RNS is that the standard formula for Admiral doesn’t work particularly well because it doesn’t capture one of our features of the business model, which is reinsurance and the associated profit condition that goes with that. So the rules effectively say, if the standard formula doesn’t work for you as a firm, then you should develop an internal model and in fact that’s what we’re doing. Will we not implement the internal model if we don’t get a big capital decrease? No. We’ll carry on and implement it anyway.
Cameron Hussein: Hi, this is Cameron Hussein from RBC. Two questions, first one just on I guess the level of business that you see in the UK, so that’s dropping to 22%. Can just talk about I guess rationale and medium-term outlook for what that ratio is likely to be? And the second question just on the U.S. price comparison again, can you just talk a little bit about competitive environment, what you’re seeing there? Are you seeing new people emerging, if they do, what would that do for you business model and price even? Thanks.
David Stevens: On the UK reinsurance, and insurance arrangements in general, we’re seeing a marked appetite from our existing reinsurers and from new reinsurers too, participate with us alongside ourselves and our business. And the decision to take the share that we’ve retained from 25 to 22 was partly because the deals are very attractive and partly because it was an option that lets us build our relationships with our existing reinsurers but also open the door on potential future important relationships.
Andrew Rose: We’ve seen a variety of money flow into the comparison space and so a variety of competitors, as the year has progressed, we think that our success is drawing some other folks in. Obviously we want to control as we much of the market as we possibly can but also it’s an enormous market. Auto in and of itself is a $180 billion opportunity. So, the idea of paving that road all by ourselves, we’ll do so, if it makes sense but we love having folks in there for the early parts of the tenure. It was great to have Google enter a year ago because it said to the market that this is going to be real. Their exit however doesn’t look to have much relationship to their performance in the actual insurance business in United States, rather to an average [ph] strategy. As I mentioned, the opportunity cost relative to the revenue they can make by stealing one of their own paid spots, I think changed as they eliminated the number of advertising spots that they put on their site going forward.
Unidentified Analyst: Andreas, Peel Hunt. Just on your growth in the second half of the year seems to be accelerated in terms of policy count. If you may comment around how much of that is higher yields retention rate and how much is new business? And if it’s material new business growth, who are you taking market share from? And second question is about your average premium per policy, which is converging with the market. I think you showed an interesting slide last time where you showed you had an 8 percentage point margin benefit from writing higher average premiums policy in the UK. Now, as you are seeing competitors entering your segments of the market, is that sort of margin benefit eroded? Thank you.
Henry Engelhardt: The second one first. What we said in previous exhibits, in previous presentations is that to an extent but only to a limited extent, it’s easier to have a good expense ratio with high average premium, what I think we are gratified to be able to show in this presentations is despite the fact that our relative average premium has been falling, our expense ratio advantage hasn’t. So, we are obviously managing to offset the movements in average premium, or they are struggling to benefits from the movement in average premium, it’s not clear, which is which. In terms of the growth of the business in 2015 in the second half, we introduced price increases earlier in the market in April of 2014. And we maintained a relatively constant rate during the course of 2015, whereas the rest of market picks up faster in the second half than in the first half. And that’s one of the reason why we have grown volume, slightly caution on market share, how do you define market share? If you have to define it by vehicles, yes, we are up; if you define it by premium, we are not that much. In the end of the day, it’s premium that matters. What is happening as we go into low average premium areas is we are exposed to more potential business but at a lower average premium. Did that answer them all?
Unidentified Analyst: Your retention?
Henry Engelhardt: Retention, there hasn’t materially been part of the equation. It’s stayed very solid, but it hasn’t particularly ticked up in the second half versus the first.
Andrew Crean: It’s Andrew Crean, Autonomous. Three questions, if I can. On compare.com, could you tell us the number of quotes and the number of policies you’ve actually placed in 2015? Secondly, I wasn’t quite sure on the Solvency II coverage ratio. You talked about 125 to 150. Was that where you think you will fall when you get internal model or is that the range, which you would seek to operate under? And then thirdly, on the overseas businesses. I think you made a distinction between short tail and long tail market and to be more successful in the more volatile long tail markets. Could you say whether that has any implications for what your strategy will be in the two different types of market, as you go forward?
Andrew Rose: Visitors were north of 5 million, quotes well north of 1 million. And we haven’t released our specific sold policies, just treating that as competitive advantage.
Geraint Jones: Solvency, the 125 to 150 coverage ratio that’s not a done deal effectively. So, we’ll confirm that over the course of the model development but the 100% would be the capital requirement at that, so 25% to 50% would be the margin above the capital requirement.
Andrew Crean: Is that where you expect to be or where you want to operate?
Geraint Jones: That’s where we would expect to operate. So, we will start to operate our Solvency position after paying out dividends, would be similar in the region of 125% to 150% relative to our capital requirement at that point, calculated under model.
Henry Engelhardt: The long -- the short tail, long tail also ties in the size of bodily injury claims. And what it really means is that in the longer tail, bigger bodily injury claims, you have more pricing volatility and you have more, better catalyst for consumers to shop. So it’ easier for us in those markets, but it doesn’t mean that there isn’t shopping, there isn’t change and there isn’t distribution change going on in markets with short tail bodily injury claims.
Olivia Brindle: Hi, it’s Olivia Brindle from Bank of America. Two questions please. The first, I am just trying to understand your current year combined ratios or loss ratios, appreciate large bodily injury is very volatile, but you must take some sort of view on that in your business planning. So, just wondering what we should expect on the current year loss ratio. Obviously you’ve sort of hinted that maybe 2015 was particularly benign on large BI; you’re not -- you don’t seem that bullish on pricing outpacing trends inflation at the moment. So, is there a possibility that current year loss ratio actually gets worst from her, any thoughts on that would be helpful? And then secondly just on the range of 125 to 150, if you could clarify how you get to that; what is it based on? Preassembly rating agency requirements are not that relevant to you. Is it based on some kind of stress scenario, where does that number come from?
David Stevens: On prospects going forward, what I was looking to say was I didn’t think enough had happened in ‘15 in terms of premium inflation, that was much that some commentators that said. And I think that makes me positive about the prospects for premium inflation 2016 in the sense that I think more has to happen. Because although ‘15 represents a relatively low, potentially relatively low period, worse point, cyclically speaking, it’s still a pretty unpleasant current year profitability for the market as a whole. So, I would anticipate continuing premium inflation in 2016, and that would outstrip claims inflation with positive indications for the current year. Outcome, now bear in mind of course that since our results tend to reflect the results of the business two or three years ago because of the way we prefer the recognition of profit, so you need be careful about seeing what’s happened in 2016 versus 2015 and then how that extrapolates in 2016 reported results. And Geraint, solvency?
Geraint Jones: Solvency, the coverage ratios will be based on our own internal risk appetite rather than rating agencies’ considerations. They’ll be based on stress test and scenarios. We’ve shown some of the likely ones in the appendix on slide 52. You’ll see that our solvency ratio is reasonably -- is very resilient to these types of stresses that most people will quote. Investment portfolio, short-term weather events, those sort of things, so we think 125 to 150 is probable range we’ll end up at.
David Stevens: We’re probably running low on time. Is there anyone on the phones who want to ask question? 
Fahad Changazi: Good morning. It’s Fahad Changazi from Nomura. Can I just ask a philosophical question? Do you remember once upon a time before the Julies of 2011 where we used to wonder where your market share could get to and then which should be worth. Given that we might be coming from that growth now? And given the market has changed, we have lots of listed players, you talked about the [indiscernible] as well. Beforehand, you used to talk about there’s still a lot of headroom, there’s still a lot of headroom. Could you again reappraise us of how should we think about going forward from here given how do markets change given what is been with this more players? Thanks.
David Stevens: Well, I think the experience of 2011 has taught us indeed to be much more philosophical about short-term cover insurance patterns because in the event we wrote an awful lot of business in 2011, which gave us a slight wobbliness, turned out to be incredibly remunerative for our shareholders as well as the positive for the customers in market at the time -- in the time where we offered a product where other people were in full flight. In terms of prospects what I think is fair to say is that last time at roughly this point of the cycle, we managed to put on 60% in 18 months 2 years in terms of volume; that is not going to happen again. I take encouragement from the fact that we put on some volume in the last 18 months. And I would hope to make some further progress if premiums increased during the course of 2015 on that front, but it will not be in any sense the same order magnitude. In terms of the confidence of our competitors, I think they should be getting better and certain individual companies definitely have. It’s always a surprise to me if they don’t manage to close expense ratio advantage, and that is a surprise and to an extent our comfort. But I think collectively, industry is more competent, but I think also that should feed through into the industry being more worth owning collectively than it might have been in the past. Last question?
Andy Hughes: Hi, Andy Hughes from Macquarie. Just coming back to the question about the average premium. So, if I think about your strengths historically, it’s obviously been underwritings’ been one of them, not just expenses. As I look around the market in the core segment, the people like Hastings who certainly have low expense ratios and are pretty efficient, and everyone’s aiming to get to those kind of levels. So, if your business is more normal in terms of its underwriting today, I’m just a bit confused about the prospect for future reserve releases which you seem very positive about. Given you told us previously that you had a two to three-year lag on profitability coming through the balance sheet and P&L, and obviously today we have the results of the profits from that exceptionally period in terms of premiums coming through. So, I guess the first question would be, what’s special about Admiral today compared to some of the other companies with more efficient structures in that mass market? Second question would be I guess if the profitability dynamics from the past and how that’s wearing off. I think the third question is generally on the cost ratio. So, if I look at the cost ratio here, an average premium, 16% is almost the same as you are paying to a price comparison website. So, retention is going to play a much different part of -- an important part of the business it did historically. So, is Admiral a different business today to what it was three years ago, in terms of your approach and what does that mean for earnings and profitability?
David Stevens: So, much in that question. The confidence on reserve releases is partly based on the fact that we always book well above at best estimates. And in fact we are booking more above at best estimate over the last couple of years than we almost have ever before. The points about ability to compete in different segments and whether we lose our differentiation as our average premium migrates to the -- towards the norm, well one thing I would say is we’ve been there before, if you look at long-term history, and we’ve managed to outperform the market on loss ratio. Another answer would be we’re only migrating towards that segment because it’s giving us a better loss ratio than the segments we are migrating away from. So that doesn’t worry me. I think expense ratio, retention is an important part of it. And we are very pleased over the last two years, generally to seeing retention improve and actually outperform the market, even though our average to premium is above market average. So, how we’re doing relative to competitors in 2015? Again, I’d say, I’ll tell you in 2018 but I think there are reasons to be confident. So, on that note, any last points? 
Alastair Lyons: Just before we finish, I’d just like to say a couple words. Today being the last time that Henry will present Admiral’s result, I remember, as a Chairman very clearly back 11 years ago, when I introduced him to present the first results of Admiral post float for the 2004. Just to remind you those results were profit of a £105 million from a turnover of £540 million entirely derived from the UK where we had just over 1 million customers. Well, as you’ve seen today, 11 years later, we published results with profit and turnover between 3.5 and 4 times that 2004 level from 4.4 million customers across five courtiers. Our market value at float was just over £700 million; when I last checked my iPhone, our market value today is £5 billion. And it’s no coincidence that Henry last week won the Sunday Times Best Leader Award for the third year in succession. Admiral success is in large part down to the culture that Henry believes passionately is the way in which you get the best out of people. And anyone who is spent time in our offices and also knows the insurance industry, I think recognizes very clearly that Admiral is different. And that difference that Henry has created has brought with it considerable success and significant value for our shareholders. So on behalf of Admiral and all who are invested in Admiral, I’d like to take this opportunity, both to say a huge thank you to Henry for what he has achieved and also to say that I am absolutely delighted that he’s going to be continuing to contribute to Admiral’s ongoing success. Henry, thank you and enjoy the time that you’ll now have more for yourself than you have in the past.
Q - Unidentified Analyst: Can I on behalf of the analysts also say great thank you to you Henry. I’ve know you for 12 years. I remember having wrangles with you over float price at 265p which was rather challenging number inside history. Over those 12 years, it’s been a real pleasure to read your letters. They come up there along with Warren Buffett. I not always understand analogies which you’ve drawn. And I think it was one of liquidizing [indiscernible] you got that past. On more technical note, analysts love numbers. And I think one of the great things about Admiral has been the ability to analyze you properly because you have had the courage to give numbers. And I know that has cost you something. I know that others were enticed to the Confused.com because of your openness. But thank you for maintaining that openness and the openness and frankness of the discussion. One other thing I would say is you always want to follow Henry -- Henry share trade. And this is the man who -- David dived into about a £1 or the £10 on the shares were going down, he waited and then dived into £8 and got the absolute low. So, it’s always worth watching what Henry does. So, Henry over 12 years many, many thanks on behalf of all of us analysts.